Operator: Good morning. Welcome to the Trinity Biotech Fourth Quarter and Fiscal Year 2019 Earnings Call. All participants will be in a listen-only mode. [Operator instructions] After today’s presentation there will be an opportunity to ask question. [Operator Instructions] Please note, that this event is being recorded. I would now like to turn the conference over to Ronan O'Caoimh. Please go ahead.
Ronan O'Caoimh: Good afternoon, everybody. Good morning in the States, and welcome to our conference call. I’m joined here by Kevin Tansley, CFO; and I am Ronan O'Caoimh, CEO. So, without further ado, I am going to hand over to Kevin who will run through the quarter and the year end.
Kevin Tansley: Thanks, Ronan. Before we begin our prepared remarks, I will submit for the record the following statement. Statements made by the management team of Trinity Biotech during the course of this conference call that are not historical facts are considered to be forward-looking statements subject to risks and uncertainties. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for such forward-looking statements. The words believe, expect, anticipate, estimate, will and other similar statements of expectation identify those forward-looking statements. Investors are cautioned that such forward-looking statements involve risks and uncertainties, including, but not limited to, the results of research and development efforts, the effect of regulation by the United States Food and Drug Administration and other agencies, the impact of competitive products, product development, commercialization and technological difficulties, and other risks detailed in the company's periodic reports filed with the Securities and Exchange Commission. Forward-looking statements reflect management's view only as of today. The company undertakes no obligation to publicly release the results of any revision to these forward-looking statements. In addition, there is uncertainty about the spread of the COVID-19 virus and the impact it will have on the company's operations, the demand for the company's products, global supply chains and economic activity in general. Now, I’ll move on and take you through the results for quarter four and then the results for the full year 2019. You will notice in our release, that there is an impairment charge being recognized this quarter, which was discussed at the end of the income statement segments. In the meantime, the metrics I'm going to quote will exclude the impact of this charge. I'll begin with an outline of the results for the quarter and then I’ll move on to the results for the year as a whole afterwards. Total revenues for the quarter were $21.3 million, which compares to $24.5 million for the equivalent quarter last year. As usual, Ronan will provide more details on our revenues later in the call. So I will move on and discuss the other aspects of the income statement. The gross margin for the quarter was 43.5%, compared to 41.7% last year and hence significant improvement. However, I would caution that there are many factors which influence our margin, including sales mix and geographical spreads, production levels and currency factors, and therefore, while this should not necessarily be taken as a new normal level, it is obviously encouraging. In achieving this increase a number of factors were at play. Firstly, we've been successful in passing on selling price increases to our customers. Secondly, as I've mentioned during previous calls, we've been placing great emphasis on cost control and this quarter's margin improvement reflects the cost savings that we've made during the year. In addition, we had a lower depreciation charge during the quarter. Moving on next to our indirect costs, our R&D expenses for the quarter show reduction from $1.4 million to $1.3 million. Meanwhile, our SG&A expenses also fell during the quarter in this instance from $6.8 million to $6.4 million. And again, you're seeing the impact of cost savings, as well as reduction in amortization. This resulted in an operating profit of $1.4 million, which represents a reduction of $500,000 compared to last year. If you were to analyze this, you will see that $1.3 million of the reduction was due to lower revenues, but was offset with the gross margin improvements, which contributed $400,000 in addition to lower indirect costs of $400,000. Moving on to our financing costs which includes the impact of our exchangeable note. Our financial income for the quarter was $88,000, compared to $158,000 last year and this was due to a combination of lower levels of cash deposits and lower interest rates. Meanwhile, our financial expenses increased from $1 million to $1.2 million. This increase was due to the inclusion of a notional interest charge for the quarter of $200,000 arising from IFRS 16, the accounting standard governing leases and in our case facility leases. The remaining $1 million is predominantly made up of the cash interest element of our exchangeable notes and was in line with last year. A non-cash financial expense which is disclosed further down the income statement is just over $160,000, which represents the non-cash accretion interest again relating to the note. You will have seen in the press release that we quote EPS without non-cash amounts and this amount of $160,000 that we are excluding. Overall, this resulted in the profit after-tax for the quarter, excluding impairments and non-cash items of $300,000 and this compares to under $1.1 million for the same period last year. Meanwhile, profit after-tax from the same basis actually increased from $800,000 to $1.3 million and this is due to a significant tax credits being recognized during the quarter largely due to the impact of changes in the U.S. tax code on our deferred tax balances and Irish R&D tax credits. This has resulted in an increase in our basic EPS from $0.038 to $0.061. And similarly diluted EPS increased from $0.07 to $0.09. Earnings before interest, tax depreciation amortization and share option expense for the quarter amounted to $1.7 million. I will now make some comments on the full year results. Revenues for the year were $90.4 million, compared to $97 million in 2018. As I mentioned earlier, Ronan, will deal with revenues in more detail later in the call. Gross margins for the year decreased slightly from 42.7% to 42.2%. The principal factor causing this reduction has been the impact of lower revenues. As I've mentioned to you on previous calls, our manufacturing cost base contains a significant fixed cost element, which in the event of revenues fall after we spread over a lower base. Another factor was the impact of adverse currency movements, essentially caused by the strengthening U.S. dollar. So as was the case in respect to quarter four, the impact these factors -- of these factors was largely offset by increases in selling prices and cost savings, and the results of modest benefit arising from the introduction of IFRS 16. Overall, indirect costs decreased from $34.9 million to $32.9 million, which represents a reduction of over 5%. This was mainly due to reduction of over $1.3 million and SG&A expenses, which was mainly due to cost savings and we also received a benefit from IFRS 16 of approximately $500,000, which was pretty much matched by a gain that was recognized in 2018 in relations to the repurchase of a portion of our note. 2019 also saw a reduction of $600,000 in our share option expense. The net result is that our operating profit for the year was $5.3 million, which was down from $6.7 million in 2018. Obviously, the main factor here is the lower revenues and to a lesser extent, lower gross margin. However, about 60% of this was offset by the reduction in indirect costs. Financial income for the year fell from $700,000 to just under $500,000, thus reflecting the lower levels of cash and deposits and lower interest rates. Meanwhile the financial expenses for the year increased from $4.9 million -- $4.4 million rather to $4.9 million, an increase of $500,000. Of this increase $900,000 was due to the new notional interest charge which has been included following the introduction of IFRS 16 for which there is no equivalent in 2018. The remaining $4 million of the expense represents the interest charge on our exchangeable notes, which is down under 2018 charge of $4.4 million following the repurchase of just over 15 million of these notes midway through 2018. In addition to this, there was a separate non-cash financial expense of $400,000 recorded for the year, all of which relates to the notes. The net result of the profit before tax for the year was $800,000 versus $3 million in 2018. Tax charge for the year was $4.9 million and this includes the settlement which we reached in relation to a tax audit in one of our entities. So, as I mentioned earlier, this was partially offset by tax credits which arose due to changes in the U.S. tax code during 2019 and also some Irish R&D tax credits. This resulted in a loss for the year of $4.1 million, which equates to a basic loss per share of $0.194 for which on a diluted basis was $0.3. Earnings before interest, tax, depreciation and amortization and share option expense for the year was $11 million. I’ll remind you that I said earlier that the measures I've just given you are all before the impact of non-cash items and impairment charges. I mentioned earlier that I’ll provide more information on the impairment charge, and as you will see in the release, the amount of that charge is $24.4 million, and as in previous years, this charge arises as a result of an impairment review that we are required to undertake annually. And so doing our company is required to assess the carrying value of its assets in the context of its future cash flows, then discounted as the cost of capital for the business. Companies are also required to be mindful of how these values fit with the prevailing enterprise value our market capitalization of the company as a whole. Consequently, a fall in the share price of the company like we saw in 2019 is likely to impact the level of an impairment charge taken. Obviously, the extent of the charge is also impacted by the discount factor or cost of capital that is used in the calculations and in 2019 we saw an increased level of volatility in our share price, which is deemed to be an indicator of risk and this resulted in a slight increase in the discount rate and in turn lead to higher impairment, goes without saying that the impairment charge itself is entirely non-cash in nature. Just so that you're able to appreciate the impact of the impairment on the yearend balance sheet I'll give you the principle captions, which have been impacted goodwill and other intangibles are impacted by a reduction of 16 points, $6 million, property plants and equipment were reduced by $6.3 million and other assets by $1.4 million. I will now move on and talk about the significant balance sheet movements since the end of September 2019. Property, plants and equipment decreased by $17 million to $9.3 million. This is made up of $11.1 million of assets, which were impaired arising out of transitional provisions of IFRS 16 and $6.3 million, which are impaired in the current year, with the remaining $400,000 being net additions for the quarter. Meanwhile, intangible assets decreased by $14.3 million and in this case, the impairment effect as I said earlier was $16.6 million, additions were $2.5 million, this was offset by amortization of $200,000. Moving on to inventories, you will see these have increased by $2 million to $32 million in quarter four and this was due to an increase in both HIV and diabetes inventory. Meanwhile, trade and other receivables decreased by $3.8 million to $21 million and this is reflective of the lower revenue this quarter versus quarter three and to a lesser extent the impairment charge I mentioned earlier. Meanwhile, our trade and other payables, including current and non-current have reduced from $37.9 million to $37.1 million, a decrease of $800,000. This is largely been driven by a decrease of $1 million in an accrued loan interest. Finally, I will discuss our cash flows for the quarter. Cash generated from operations for the quarter were $2.4 million and this was broadly offset by capital expenditure of $2.3 million. However, obviously, the largest item relates to close to $6 million of tax and non-note interest. The vast majority of this relates to the tax settlement, I mentioned earlier, and which was recorded in quarter two was actually paid in quarter four. For the payments during the quarter included interest payments on the exchangeable notes close to $2 million. This represents six months of interest as these payments are made semi-annually, facility lease payments of $800,000 and the net result is that we had a decrease in cash for the quarter from $25.1 million to $16.4 million, a decrease of $8.7 million. Finally, I'd like to say a few words about the impact of COVID-19 and the impact it's having on our day-to-day business. We've already seen a significant reduction in the level of testing being carried out at our autoimmunity laboratory in Buffalo. This is not altogether surprising as the type of conditions being tested for, are largely non-acute by nature and hence it is understandable that in some cases, patients and physicians have opted to defer these. In our diabetes segment, we're seeing a reduction in instruments being placed at hospitals and other healthcare facilities as they temporarily defer the acquisition of new equipment, while concentrating on the pandemic. The days we have not seen a significant drop off in consumable revenues, but this may follow as testing in this area may also be deferred at a later date. Revenues in our life science supply business with Fitzgerald are being impacted by the partial shutdown in Chinese manufacturing. China being one of its biggest markets, but we're happy to see that this market is beginning to unwind some of its lockdown measures, which is encouraging. Fitzgerald is also being impacted on the supply side as significant amount of its products are sourced from China. On a more general level, we're beginning to experience difficulties in shipping as the level of air freight has contracted significantly. This has begun to become a factor for HIV shipments to Africa in the last 24 hours we're beginning to see some airports in Africa being locked down. It also may become a factor in terms supply of raw materials though to-date the impact of this has been limited. The positive side, we're seeing a sharp increase in demand for our respiratory rapid products and we're increasing production levels as we speak. In overall terms, we will see a modest negative impact on quarter one revenues, but the greater impact is likely to be in quarter two. Though at this point, as I'm sure you can appreciate, it is impossible to quantify this at present, given the level of uncertainty surrounding how long this situation will last, an ultimately how severe it will become. I'll now hand over to Ronan, who will take you to revenue and other matters.
Ronan O'Caoimh: Thanks, Kevin. And I'm going to review our quarter for revenues and our revenue for the year before opening the call to question-and-answer session. Total revenues for quarter four were $21.3 million, which compares with $24.5 million in quarter four of 2018, which is a decrease of 13%. Point-of-care revenues decreased by 46% to $2.2 million from $4 million in the previous year. This was driven by lower HIV sales in both the U.S.A. and Africa. The decline in the U.S.A. was attributable to the decision to exit this market, which has been in decline for a number of years, whilst African sales were lower due to the normal fluctuations in ordering patterns have characterized that market. Clinical laboratory revenues decreased from $20.5 million to $19.1 million, which is a decrease of 6.5% compared to quarter four of 2018. This decrease was due primarily to lower infectious disease revenues, which included lower Lyme sales due to the migration away from Western Blot testing and lower life for sales reflecting the older nature of this technology. Looking at the year as a whole, total revenues for fiscal 2019 were at $90.4 million, compared with $97 million in 2018, which is a decrease of 6.8% year-on-year. Point-of-care revenues decreased from $14.8 million in 2018 to $11.4 million in 2019, which represents a decrease of 23%. African sales were down modestly in 2019, compared to 2018 due to normal fluctuations have characterized this market rather than just any loss of customers. The bulk of the decrease arose in the U.S.A. as a reduction in funding for public health HIV testing programs and also the CDC recommendations in favor of force generation antigen testing has led to a situation that volumes have declined to the extent that when manufacturing and marketing costs are taken into account, it was no longer an economically viable product. Consequently, in quarter four, the company decided to discontinue this product. This gives rise to the loss of $2 million in revenue, but an improvement in profitability and cash flow. Meanwhile clinical laboratory revenues for the year were $79 million, which represents a decrease of 3.8% over the prior year up 82.2 million. Our hemoglobin’s business performed strongly during the year with growth of 5%. Absent very strong currency headwinds, this growth would have been significantly higher. Instrument placements were strong into all of our major markets. Our autoimmune business also performed strongly with growth of 6% for the year, with both our product and laboratory divisions performing strongly. Revenues at our monoclonal antibody business, Fitzgerald were down 4%, but the business continues to produce excellent profitability. Our infectious disease business performed well in China and also performed well around the rest of the world, with a single exception of the U.S. where we suffered a significant decline in our business. This arises due to lower Lyme sales attributable to the loss of a contract with one of the major U.S. clinical laboratory service providers and the continued migration away from Western Blot to other testing formats. We've seen production volumes in our Carlsbad, California facility, which specializes in Western Blot manufacture declined steadily the extent that it no longer makes economic sense to continue. Consequently, we have taken decision to close this factory on the 30th of June of this year. During the period until 30th of June, we will produce the final batches of Lyme Western Blot for our remaining customers by simultaneously transferring non-Lyme products to our other factories. The combined impact of withdrawing from the Western Blot Lyme business and our U.S. HIV business will result in a reduction in annual revenues of $4.6 million. However, we expect that when the associated cost savings are taken into account. It will result in a positive impact on our annual cash flows of approximately $2 million. The company will be taking a one-off charge for redundancies and other closure costs in relation to the Carlsbad factory in quarter one of 2020. And this will result in a one-off charge of approximately $2 million was a significant portion of this being non-cash related to inventory write-downs. Following the closure of the Carlsbad factory on the 1st of July, the company will be operating on a cash flow positive basis and will exclude short-term COVID-19 factors. Meanwhile, the company has been working on the development of an ELISA test for the detection of antibodies to the virus that causes COVID-19 in human blood samples. This test will determine which members of the population have had COVID-19 and are therefore now immune and consequently can safely go back to work and be exposed to the virus, for example, healthcare workers and et cetera, et cetera. This test will also have utility in monitoring the effectiveness of vaccination programs as vaccines become available. The product, which is substantially complete is being transferred into manufacturing at our Jamestown, New York facility where production capacity is significant. Trinity will avail of emergency regulatory pathways to expedite the commercialization of this test across all this primary markets, including the United States and Europe. As already indicated, our production capability is very significant and the instrumentation that can run this ELISA test is freely available in virtually every laboratory in the world. In addition to this, the company is developing a rapid point-of-care COVID-19 tests and to detect antibodies, the virus that can be run in approximately 12 minutes using one drop of blood procured by finger prick with a spring loaded Atlantis. The utility of this test is similar to that outlined above for the ELISA test. We expect to complete development of this rapid test within the next two months and believe that we can avail of emergency regulatory pathways to expedite approval of this test in the United States, Europe and other markets. At this point in time, if I could hand back this to Kate for questions.
Operator: [Operator Instructions] Our first question is from Paul Nouri from Noble Equity. Go ahead.
Paul Nouri: Hey. Good morning.
Ronan O'Caoimh: Good morning.
Paul Nouri: I was wondering, what percentage of the cost of goods sold is directly related to the product versus factory overhead and employee pay?
Ronan O'Caoimh: Yeah. It obviously varies Paul quite a lot. But on average, you’re talking about 20% for materials and of the remaining 80% broadly split evenly between labor and overhead.
Paul Nouri: Okay. And have you pretty much kept all your employees on so far?
Ronan O'Caoimh: At this point, yes, we've continued to manufactured in fold.
Paul Nouri: And the Fitzgerald unit has not benefited from any COVID antibody sales this year?
Ronan O'Caoimh: Not significantly at this point, no.
Paul Nouri: Okay. And you noted that part of the reason for the increase in inventory was an increase in HIV tests even though you're exiting the U.S. market, maybe you can reconcile that for me?
Ronan O'Caoimh: Yeah. We -- it's -- and possibly I should have said there that it's for the African test market, which is a bigger part of the HIV business anyway was a multiple of the U.S. part of the business. And that business as we used to have manufactured in China and recently have taken back to Ireland and have been steadily building up safety stocks. So as we've become more adept at manufacturing the products in question, we become -- our output levels have been going up and we've been in position to put a safety stock in place.
Paul Nouri: Okay. And then keeping in mind that you're exiting a couple of lines of business going forward, do you have an estimate for what your baseline is for, I guess, the African point-of-care market and then the clinical lab business?
Ronan O'Caoimh: I think, our baseline for Africa would be about $11 million and then just for the other -- for the rest, just reluctant to give you an exact number in the current circumstances and -- but for Africa about $11 million.
Paul Nouri: Okay. And so of this -- all of this remaining business, how much of it is recurring revenue for tests versus placing instruments?
Ronan O'Caoimh: I think all of our business virtually, apart from Fitzgerald, and our African business is recurring and basically instrument-based business. And indeed and our Fitzgerald business is very much a recurring business because, for example, if you take an FDA approved product, it may have a Fitzgerald source to antibody as its base and therefore to change that product will require a new FDA submission. So in effect, business is very much a repeat business and movement increases or decreases are very gradual. And really, I suppose the only non -- the only fluctuating -- significantly fluctuating component of our business is our African business and then I'd characterize that as having about 70% to 75% of the entire confirmatory market in Africa, which we've held for upwards of 15 years to 17 years now, without any significant movements or gains or losses of countries. So -- and we believe that’s with invasive, more and more effective to entry retroviral treatment that the benefits of testing are ever increasing, and therefore, we don't see a situation where HIV testing in Africa reduces, but we think that's a very stable business. So we're confident of maintaining that kind of $11 million worth of revenues, approximately $10 million or $11 million worth of business. And then on top of that, as you know, we're now entering the screening market, which is a market of a multiple times bigger and dominated by Abbott and we hope to take a share in that market our confidence of doing so. With the advent of TrinScreen and its imminent WHO approval.
Paul Nouri: Okay. Thank you. And my last question, just in terms of liquidity is maybe you could talk about any credit availability that you have in terms of a credit facility and whether or not there's any consideration to take out mortgages on any of the properties you have as a way of showing up cash and if you are considering selling the Carlsbad plant and if so, if you have a value for it at all?
Ronan O'Caoimh: I’ll take those in reverse order and the facilities that the company operates on and by and large they are leased. We own two buildings, one in Jamestown, New York, we have two buildings there, the factory building we own. We own premises in Burlington, Ontario in Canada. I would I think, be safe and assuming that neither of those buildings are particularly valuable on their own. They're very essential to us, but they are particularly valuable monetary, I don't think we would secure a mortgage on those to any great extent. We don't at present have any credit facilities in place, but that's something that we are working on.
Paul Nouri: Okay. Thank you.
Operator: Our next question is from Jim Sidoti from Sidoti & Company. Go ahead.
Jim Sidoti: Good afternoon. Can you hear me?
Ronan O'Caoimh: Hi, Jim. How are you? Yes.
Jim Sidoti: Great. So I'm to found of digging to the new test you're developing now for the COVID-19 virus. You said the first one, which is, the clinical laboratory tests, you said, you're through -- pretty much through development and moving to production. So what does that mean with regards to the FDA? What do you think the timeline will be to get approval for that?
Ronan O'Caoimh: Well, Jim, we're expecting that we'll get emergency use authorization from the FDA. And so it’s a very significantly shortened process. And basically, instead of going through a kind of exhaustive clinical trials, you're really involved in effectively validating the product. And then basically, getting -- requesting emergency use authorization, which in circumstances, one believes -- we believe we would get. I think subsequent to that, after one releases the product in the market, there's an element of kind of enhanced trialing of the product subsequent to that. But you would have seen some examples of this happening. It's called the EUA approvals and that's what we expect will happen. So basically, as we stand at the moment is that, we have a factory in Jamestown, which is expert at ELISA manufacturing. And I mean for example, it's supplied until sort of I think about seven years or eight years, the opposite seven years or eight years ago. It supplied all of Quest and LabCorps infectious disease requirements across all viruses actually. So though and it is expert in basically high volume manufacturing has all the abilities to do that. So we're transferring this product, which by the way is an IgG product. So it detects antibodies and can detect them from about sort of 12 days, 14 days after infection. And so, we're transferring that into production, and in meantime, I am going through the validation process to support in EUA and we're quite confident of getting the product to the market very quickly. And please don't ask me to be exact of this in terms of defining very quickly, but that's our expectation. So, basically, we have the product and we have the ability to manufacture it in volume. And we believe we have an excellent product, and as I instance that, we are very practiced at mass production of infectious disease, vaccines and of infectious disease viruses.
Jim Sidoti: All right. And just to be clear, this test -- this could be performed on the existing equipment now that's at the LabCorp and Quest kind of facilities, is that correct?
Ronan O'Caoimh: Yeah. And -- yeah. I mean basically, every laboratory in the world will have -- has virtually, I think, without exception, the ability to analyze the test. We’ll have the instrumentation in place, whether it be Labite or Plabs, DX, DS2, washers, leaders and whatever. Yeah, every laboratory in the world will have a debut might be using it for the moment for either territory but they all have the ability. So, basically, yeah, and there will be no product in terms of instrumentation it being readily available in the laboratories to run this test.
Jim Sidoti: Okay. And then similar for the point-of-care test you're working on now, whose equipment would that test run on?
Ronan O'Caoimh: Well, I mean, our point-of-care test won't require an instrument. I mean, it just imagines in your mind, it's like -- it’s exactly like our HIV test or exactly I suppose really like a pregnancy test in the sense that you just get a color on the control line and then a color, if it's positive, and no color if it's negative and so in that sense. So it's just a standard lateral flow test like a pregnancy test or like HIV test or lateral flow, and basically, that. So it doesn't require any instrumentation whatsoever.
Jim Sidoti: Okay. Because I do believe the Abbott test, it just received approval that has to run on their test system. So this would be an advantage over that because you wouldn't need to have a test system?
Ronan O'Caoimh: Well, they're doing different things, I mean, in the sense that the Abbott tests has just been approved is a molecular test, right? And basically so -- so basically that is testing -- that test in the antigen. So that can pick up an infection virtually immediately. The antibody test that we are -- we have developed and are developing in the case of the rapid is an antibody test, right? So, of course, you'll only actually develop the antibody a number of days after infection. But typically, the IGM you'll get after -- the IGM antibody you’ll get after about three days and the IgG maybe after kind of day seven maybe 7 days to 10 days. But, of course, to give you an example, some of the importance of -- some -- I mean in any event, most people aren't being tested, actually, ironically until many days after they actually are infected. But leaving that aside, but what's happening if you look at the statistics that we're seeing at the moment, of course, they're complete monstrously understating the actual number of infections. And if I just take an example of the U.K., right, beside us here and they really only testing people when they're really, really sick, so there is lots of people, younger people, and indeed some older people who are getting sick and getting over, and of course, they would never get a test unless they get really sick. And of course, it comes to a point then where they say it's very useful to know if in fact, you actually did have the condition and if you have developed the antibodies, because if you have developed the antibodies, you can go into any environment without a mask, whatever and are safe. So you're safe to go back to work and you're safe maybe to the healthcare worker, et cetera, et cetera. So as this whole thing moves forward antibody tests are going to become really an essential component of this whole thing, whole battle. And the other, yeah, and of course, there are a lot less expensive as well and bearing in mind that our antibody test, ELISA will run on blood, with blood and our rapid run with whole a large on the fingerstick loaded lancet. Another important point to bear in mind by the way is that it’s not really being said, but the molecular tests, although, they're very accurate. The swabs that are being got sometimes aren't actually as accurate in the sense that they're not getting a good enough sample. So our estimates are that may be really they're only, 80%, 80%, 85% accurate, because -- not because of the underlying technology is in good enough, but rather because the quality of the samples that's been procured by people have sometimes, limited check and experience isn't good enough.
Jim Sidoti: Okay. All right. And now with regards to R&D expense, it sounds like you're working pretty hard on these in the first half of this year, should we expect a material picked up in R&D spending in the first half of 2020?
Kevin Tansley: No. I don't think so, Jim. I mean, you've already heard Ronan say that the testing question is largely developed from the ELISA point of view and that will be modest expenditure on that and the rapid tests come a little bit afterwards will require maybe a little bit more. But no, I don't regard there is a significant uptick.
Ronan O'Caoimh: Basically, we've just redeployed people.
Jim Sidoti: Okay. All right. And then you mentioned in the press release that the valuation for the TrinScreen test is on hold temporarily. I know it's hard to look into a crystal ball and see when this whole, COVID-19 starts to come back to -- starts to get under control. But is it reasonable to assume that TrinScreen will be approved at some point in 2021?
Ronan O'Caoimh: Yeah. I do believe so. I mean, so our Ivory Coast trial is finished whereas South African Kenyan trials we just close them down. We were just finishing though, I mean, I can't guess when they will be commenced, but, let’s assume and then just as guess I think it will constitute like a two month delay some of that.
Jim Sidoti: All right. Then the last one from me. Just want to make sure I got my math right. On the two discontinued products the U.S. HIV test and then the Lyme test. You said you expect about a $5 million decline in revenue, but about a $2 million increase in cash flow. So it's safe to assume that operating expenses at that California plant were roughly $7 million?
Kevin Tansley: No. Not really. So the figure we quoted there, it's a little bit of apples and oranges going on. But the $4.6 million of reduction in revenues was the amount of revenues that those products contributed to 2019 revenues, and obviously, they won't go to zero entirely in 2020 because we're still producing some of the Western Blot line products and we'll sell those throughout the year. Whilst, ultimately that $4.6 million if you want to think about is in 2021 one will have all disappeared. The products were declining anyway. So when we get out of the Carlsbad facility as such, we will -- we estimated that we probably would have had about $3 million of revenues between the two products at that particular point in time. And the costs associated with Carlsbad were about five and that's where the two comes from.
Jim Sidoti: Okay. So…
Ronan O'Caoimh: Yes. Bear in mind is that there was not the product being manufactured in Carlsbad as well, which we've had to move to other factories, it wasn’t just as simple as you know.
Jim Sidoti: Okay. But for 2021 we should assume operating expenses down around $5 million from 2019 levels as a result of the…
Kevin Tansley: Yeah.
Jim Sidoti: … facility being closed. Okay. All right. Thank you. That's it for me.
Ronan O'Caoimh: Thanks, Jim.
Kevin Tansley: Okay. Thanks, Jim.
Operator: [Operator Instructions] Our next question is from Walter Schenker from MAZ Partners. Go ahead.
Walter Schenker: Two questions only. Hello, Ronan, and hello, Kevin.
Ronan O'Caoimh: Hello, Walter.
Walter Schenker: First, on the ELISA test, you can make millions of these, I mean, you said volume you did two very large labs, I'm just trying to get an understanding of making it in volume is thousands, tens of thousands millions?
Ronan O'Caoimh: And yeah, we could make millions, basically, then… Q Yeah.
Ronan O'Caoimh: Yeah.
Walter Schenker: Secondly, what you talked about…
Ronan O'Caoimh: [Inaudible] Yeah.
Walter Schenker: What you talked about only testing or initially testing people in the healthcare or emergency providers and stuff as people go back to work. One of the concepts is to in fact test people for antibodies, because they would not be at risk, which would make a much larger market. This would be applicable to anybody who to check if in fact they have antibodies, correct?
Ronan O'Caoimh: Yes. That's correct, Walter, yeah.
Walter Schenker: And just the last on that, then I have a growing question. Not trying to rip people off, but other type of antiviral test you may have done in the past are $1, $10, $20, I'm not asking you why you're going to price it, just an order of magnitude of what a test might go for that you sell?
Ronan O'Caoimh: Well, I mean, really that varies, but, I mean, if you take a test for measles, for example, an ELISA test for measles is kind of like it was kind of bottom of the barrel. And what I mean, they are very simple, simple test, it probably would be failing out of company like Trinity Biotech for $1 a test or something like that and.
Walter Schenker: Okay.
Ronan O'Caoimh: But then other tests more esoteric might be up at $5 or $6. So it would depend. But, certainly, yeah, this, I mean, yeah, it would be, I'm not sure what the pricing would be, but it would be more the latter than the former.
Walter Schenker: Okay. And then, Ronan, we've had discussions over the last couple of years, about the place of 100 or under $100 million medical testing company, which has to carry public company expenses, worldwide marketing and research expenses, given how many countries you operate in? You would generally still be the view of management and the Board, I know you can speak for the Board, you can speak to yourself as a large holder and part of management that on a long-term basis, say, $100 million or less revenue company, which operates on a worldwide basis, just can get very profitable?
Kevin Tansley: I mean, you're saying that's not me. I don't really know how to respond to that.
Walter Schenker: Well, okay, I'll ask the question differently. We have a couple years out a bond payment coming due and which the company is going to have to address, history of the last five years would argue that $100 million we can't make a lot of money. So the company either has to be meaningfully bigger or pursue other strategic alternatives. That's a question not a statement?
Kevin Tansley: Yeah. Okay. And I would accept that. And I think, we're very conscious of the fact that we have a bond maturing of $99.9 million in 24 months time. And we're extremely conscious, listen we may have to take steps in looking at all our options and it could include a sale of part of the business or indeed all of the business, there's many possibilities here and I want to kind of unsettled and even my employees who are listening on the call or anything like that. But, yeah, clearly, we have to look at all of those kind of options.
Walter Schenker: Okay. Thank you very much, Kevin.
Kevin Tansley: Thanks, Walter.
Operator: Our next question is from Jonathan Sacks from Stonehill Capital. Go ahead.
Jonathan Sacks: Hi. Very interesting to hear about your development of COVID antibody test, can you just tell us a little bit about the potential competition for that test? Are there lots of other companies developing tests for that purpose now is it difficult to do and is Trinity differently or uniquely positioned versus others by virtue of capabilities or manufacturing capacity or otherwise?
Ronan O'Caoimh: Jonathan, I think if you Google kind of COVID-19 tests, you get a very long list for molecular tests and for ELISA test rapid and whatever. Most of them are probably, Chinese, but there are a lot of people involved and I think it's reasonable to assume that an awful lot of companies are working on this, some talking about it and some not talking about it. And so, all I can say is that, we have developed a test, an IgG test that we think is very good. We have the pedigree in the sense that we've done it before, we know we're at we have the production capability and we have a reasonable market capability. So and -- but let's be no doubt there will be a lot of people very busy working until the test at the moment. And I'm not going to start speculating as to who is where and that whole process. But just looking at ourselves and we've developed a good test. As I mentioned, we were the sole supplier -- virtually sole supplier to Quest and LabCorp to the number of years ago, virtually their entire infectious disease and ready to test for that detected various viruses. And so, clearly, we have the capability and the experience. So and -- so we'd be quietly confident that this can be successful, I mean, I think, there's two things, the two things that are going to basically the question marks over is whether we can get the approvals that we require and whether we can gain the custom that we have required. I have no doubt about that we have a decent product and I've no doubt that we can manufacture then we've ticked those two boxes with no doubt in the next two boxes over I think there we have to wait and see. But we’ll be quite confident we gain the approvals.
Jonathan Sacks: And in terms of the approvals, would you think the United States is the first place or would act the fastest or someplace else, if you could help us think about what regions might have the fastest track for approval of these products?
Ronan O'Caoimh: Well, I mean, that’s -- I think our concentration basically would be CE Mark for Europe and then FDA with and emergency use authorizations. I mean, they are our primary focus right now. I mean, I think, armed with that, all of their markets would open up you know.
Jonathan Sacks: And I certainly understand you don't know exactly when those things can get approved and I'm guessing that months’ not weeks, but that you'd likely be hopeful that it's something you could be selling in this calendar year in 2020. If approved, is that a fair way to think about it?
Ronan O'Caoimh: Yeah. No. No. I'm very much talking about this calendar year absolutely. I'm talking short months.
Jonathan Sacks: Okay. That's very helpful. Thank you.
Ronan O'Caoimh: Thanks, Jonathan.
Kevin Tansley: Thanks.
Operator: Our next question is from William Lap [ph], a Private Investor. Go ahead.
Unidentified Analyst: Good afternoon or good morning guys. Hi.
Ronan O'Caoimh: Good morning.
Kevin Tansley: Hi, Bill.
Ronan O'Caoimh: Hi, Bill.
Unidentified Analyst: Hi. How are you? I -- based on Jonathan's question, I think, you're correct based on what I've been hearing on television and others that the FDA is going to move this as fast as possible. And I think I don't think you'll have much problem getting this approved. If it does what you say it will. There are other tests out there in fact, Mayo was developing some tests. You may want to look at it came in? And the Star Tribune this morning, you may want to Google that and see what they're doing. But I think you have the right approach on this. But is your -- is Abbott also looking at something like this developing this test you know?
Ronan O'Caoimh: Well, I mean, Abbott got approval, I think, yesterday or day before, I think, two days ago.
Unidentified Analyst: Yeah. But that's not the same kind of test they got approval on and is it?
Ronan O'Caoimh: Exactly. Yeah. That’s molecular test.
Unidentified Analyst: Yeah. So, I think, you’re also talking about the antibody, the same type of test you have. So I guess, but there must be -- there will be enough demand that more than one test would be good, right?
Ronan O'Caoimh: Yeah. I mean, Bill, with no doubt look at what the other companies will develop antibody tests there.
Unidentified Analyst: Okay. And so, in Africa, for your other the screening test ---- you never finished in getting all the sites and all the data done. So you could finish the submission is that correct, because Kenya was closed down, is that what you said?
Ronan O'Caoimh: Yeah. So, basically, there were three sites, so South Africa, Kenya and Ivory Coast. So Ivory Coast is finished and South Africa and Kenya were just virtually on the point of completion. But they've just closed down the past 10 days. But I'm guessing here and estimating that, they'll open up again, I'm sure of the timing, but I mean, somewhere between, I don’t know, two months and three months, probably…
Unidentified Analyst: Okay. … and so it. And I think so that's the extent of the delay. And I think following that then we can submit to the WHO, and hopefully, we'll get an approval before the end of this year.
Unidentified Analyst: Okay. So we're still pursuing that and that's still something that looks good for us if we get it, right? I mean, there's still demand for it?
Ronan O'Caoimh: I mean, there is -- no, to be very clear our TrinScreen strategy is core of more importance to the future of the company. We've invested significantly and as we're strong believers in this and we think that we can succeed there. We already basically dominate the confirmatory market and we’re established producer of rapid HIV test regarded as gold standard in Africa and we think we can leverage that and take a decent market share in screening market.
Unidentified Analyst: Okay.
Ronan O'Caoimh: And we’re confident of doing that.
Unidentified Analyst: Do you have any feeling of I know it's early, do you have any feeling what kind of tests, what kind of volume you could do in the COVID tests? Have you -- have any doing at all?
Ronan O'Caoimh: I’d better resist it. I don't want to kind of -- I only -- expectations unreasonably here. If you don't mind I won't do that. I won't get involved in that other than to say that there is huge logic and the concept of screening at some point in time, to ascertain who basically has been infected who hasn’t. There is so much advantage to knowing that. And there are many people. I mean in the U.S. you’re earlier in the whole pandemic than some of the European countries. But in reality there are many many people who have been infected and quietly recovered and never basically been to the doctor.
Unidentified Analyst: Yeah.
Ronan O'Caoimh: And no I know numerous such people. But bear in mind at the moment as for example, just take the U.K. as an example. I mean, you basically have to be really sick before they really even give you a test.
Unidentified Analyst: Yeah. While the U.S. the goal is to get everybody tested, yeah?
Ronan O'Caoimh: But they're saying otherwise just self-isolation, self-isolate then you’ll recover and then you're never part of the statistics.
Unidentified Analyst: But you still may have it you don't know.
Ronan O'Caoimh: Yeah.
Unidentified Analyst: But once you develop that does that -- the question is will it stay so that it will be that your immune system is such that you are, okay, and it won't come back, but I think?
Ronan O'Caoimh: Yeah. I think there is debate, but, yes, I mean, yes you are immune, I mean, this question mark as to how long you're immune.
Unidentified Analyst: Right.
Ronan O'Caoimh: I mean, for most viruses if you think the whole concept -- the whole vaccination concept you’re immune for life. But I mean there is speculation that you’re immune for two years or three years. But I don't think anybody suggesting that you're immune for less than that. So as a point of view of this pandemic and you can regard somebody who is had it as being immune.
Unidentified Analyst: Okay. Well, this test could be good for Trinity, if we can make some money with it that will be good, other than the fact that.
Ronan O'Caoimh: Thanks so much, Bill.
Unidentified Analyst: Thank you for taking my question.
Ronan O'Caoimh: Thanks. And, okay, so listen, thank you very much. I see there's no more questions. And so, I think we close the call and thank you for your support and interest. And we look forward to speaking to you soon on our quarter one conference call. Good afternoon.
Kevin Tansley: Thank you.
Operator: The conference call has now concluded. Thank you for attending today's presentation. You may now disconnect.